Operator: Good morning. My name is Denise and I will be your conference operator today. At this time, I would like to welcome everyone to the Donaldson’s Q1 Fiscal 2017 Conference Call. All lines have been placed on mute to prevent any background noise. [Operator Instructions] Thank you. Brad Pogalz, Director of Investor Relations, you may begin your conference.
Brad Pogalz: Thanks, Denise. Good morning, everyone. Thank you for joining Donaldson’s fiscal 2017 first quarter earnings conference call. With me today are Tod Carpenter, President and Chief Executive Officer and Scott Robinson, Chief Financial Officer. This morning, Tod and Scott will discuss our first quarter performance and provide some insight on fiscal 2017 and an update on some of our strategic initiatives. Before we begin, I want to cover a few housekeeping items. During the call, we may reference non-GAAP metrics such as adjusted earnings per share. You can find a reconciliation of GAAP to non-GAAP metrics within the schedules attached to this morning’s press release. Also, for reference, we posted a schedule on our Investor Relations website showing the year-over-year sales change with and without the impact from currency translation. I want to remind everyone that any forward-looking statements made during this call are subject to risks and uncertainties, the most important of which are described in our press release and SEC filings. I will now turn the call over to Tod Carpenter. Tod?
Tod Carpenter: Thanks Brad. Good morning, everyone. We are pleased with the start to our fiscal year with first quarter results keeping us on track to deliver full year sales and adjusted profit in line with our prior guidance. As we look more broadly, we see mixed signals in the market. On the positive side, there is further evidence of stability in some of our businesses. In the Engine segment, demand in off-road has stabilized while trends in the aftermarket business suggest we are through the broad-based destocking we experienced in prior quarters. On the industrial side, there has been a slight pickup in quoting activity and we are seeing slightly more first-fit projects move forward. While we are encouraged by the signs of stability, we are not seeing evidence of a near-term market rebound. For example, since the U.S. Presidential election there has been a lot of optimism about the possibility of increased infrastructure spending. We are also excited about that possibility, but we recognize that it would be a while before any increase would take place. Until then, we will remain cautiously optimistic and focus on what we are seeing in our business. Based on our analysis which is supported by customer perspectives and third-party data, we continue to view this operating environment as being more of the same for at least the balance of our fiscal year. With this market perspective as a backdrop, I will now turn to our first quarter sales performance. Total sales of $553 million were up 2.8% from last year driven primarily by growth of replacement part sales in both segments. Within our Engine segment, the total increase of 2.1% was led by aftermarket as first-fit sales remain under pressure. Consistent with our projections, sales of on-road products declined nearly 26% from last year with the U.S. accounting for more than half of the decline as our sales followed the decrease in Class 8 truck production. The off-road business continues to level off showing a very modest decline from last year and the prior quarter. Beyond the year-over-year performance, we have been seeing relatively even demand from our off-road customers, which is an encouraging sign of stabilization. Our Engine aftermarket business is also showing signs of stability as we recover from sharp declines in the first quarter of last year. First quarter sales were up more than 6% reflecting similar increases in both the OE and independent channels and including about $2 million of incremental sales from our acquisition of Partmo. Aftermarket sales of PowerCore also contributed to the first quarter increase with sales up in the low double-digit range from last year. With hundreds of SKUs across multiple generations, this product continues to demonstrate that our razor to sell razor blades approach is an effective way to drive aftermarket retention. In the OE channel of our aftermarket business, we are maintaining a cautious stance given the uncertainty of how our largest customers will behave at year end. One year ago, we saw unusually large demand fluctuations as many consumers tightened their balance sheets at the turn of the year. While these fluctuations moderated in January, the volatility created quite a bit of pressure on our operations. Given that possibility, we are tempering any enthusiasm about recent OE trends. Sales in aerospace and defense increased 4% from last year driven by growth in sales of replacement parts while first-fit sales continue to face headwinds from declining production of defense equipment and rotary wing aircraft. Our Industrial segment sales increase of 4.1% was also driven by overall growth in replacement parts with our gas turbine business being a notable exception. As expected, total GTS sales increased 34% driven almost entirely by first-fit revenue as we compare against a historically low volume quarter last year. The market conditions 1 year ago prompted us to begin to take a hard look at our GTS business. We decided to make a strategic shift that included a greater focus on growing aftermarket sales combined with a more selective approach when bidding on large-driven projects. This approach can be broadly defined as bidding in a way that creates value for our customers and us versus winning a project at any cost. We recognized the consequences of this strategic shift would likely be top line pressure, but we believe our technology and service offering give us the platform to effectively compete and win new business in the aftermarket. During first quarter, we saw a mid single-digit increase in sales of these aftermarket products, adding to our confidence that we made the right decision for our company. Going forward, we will continue to monitor the market and adapt our product offering to profitably grow sales. In our Industrial Filtration Solutions business, sales were roughly flat with last year, including an increase in the low-teens from sales of replacement parts. On the first-fit side, we remain encouraged by our Downflo Evolution offering with sales nearly doubling from last year. We continue to drive growth in the U.S., where the product launch 2 years ago and we are also seeing rapid growth in APAC and emerging sales in Europe and Latin America following the recent launch in those geographies. Finally, within special applications, strong sales of Venting Solutions were not enough to offset the decline in disk drives resulting in a total decline of about 1% from last year. Across our company, we are seeing more evidence of benefits from our strategic initiatives and strong execution than tailwinds from the market and I will share some examples of how we are maintaining our momentum in a few minutes. Before turning the call over to Scott, I want to briefly acknowledge the news that broke this morning, about Parker-Hannifin’s acquisition of Clarcor. Like you, we are learning about the transaction real-time, so we have nothing specific to share at this point. We will obviously be learning more in the coming weeks and months. But for us, we are simply focused on providing the best technology, value and service to our customers. Now, I will turn the call over to Scott, so he can provide some additional context on our first quarter performance and full year guidance. Scott?
Scott Robinson: Thanks, Tod and good morning everyone. Our company achieved an important milestone in the first quarter as we closed our consolidated books for the first time on our new global ERP. I want to thank everyone involved in reaching this milestone. We have lot of optimization work left, but I am proud of the efforts to-date. I will shift now to a recap of our first quarter performance. We were pleased with our performance as we converted a 2.8% sales increase into strong profit growth on both the GAAP and adjusted basis. First quarter GAAP EPS was up more than 48% driven in part by one-time items this year and last. In 2016, we incurred charges for restructuring and fees for the investigation into our GTS business that totaled $10 million with $3 million in gross margin and $7 million in expense. This year, the one-time impact benefited GAAP earnings. During the quarter, we settled claims against an escrow account that was established when we acquired Northern Technical, 2 years ago. For the terms of the settlement, we can only disclose the financial impact, which was $6.8 million. This benefit was recorded in the other income and expense line of our P&L, so there was no impact on our operating margin and it was excluded from adjusted EPS. Excluding the one-time items in both years, our Q1 adjusted earnings per share grew 11.8% to $0.38 from $0.34 last year. Our operating margin in the quarter grew to 13.8% from last year’s adjusted rate of 12.2% with the majority of this increase coming from gross margin improvement. Our first quarter gross margin of 35.1% benefited from higher fixed costs absorption as compared with last year’s rate, which faced pressure from under absorption. Looking back, our Q1 rate is fairly consistent with our historic first quarter gross margins. We also generated 20 basis points of expense leverage in the quarter. As expected, the tailwind from restructuring actions we took last year was partially offset by higher variable compensation expense. Our balance sheet continues to be a source of strength for us. At the end of the quarter, our gross debt to EBITDA leverage ration was about 1.5x, representing a notable decline from last year’s October rate as we continued to benefit from our efforts to improve working capital. Compared with last October, receivables are down 3% and inventories down almost 13%. The most significant improvement AR is coming from reductions to balance in delinquent accounts and inventories moving in line with the regional level targets we set last year. During the first quarter, we returned $23 million to our shareholders through dividends and invested another $41 million to repurchase 0.8% of our outstanding shares. First quarter capital expenditures of $12 million was below our recent run rate given the timing of certain projects and our cash conversion for the quarter was a very healthy 150%. I know that geographic location of cash is a hot topic right now, so I will add that nearly all of our cash at the end of the quarter was outside the U.S. Turning to our view of fiscal ‘17, I want to start by highlighting the full year impact of the settlement I discussed earlier. We now expect OI&E income between $15 million and $17 million and a full year tax rate between 26.4% and 28.4%. Altogether, GAAP EPS is now forecast to be higher than adjusted EPS by about $0.05. Beyond those changes, our current perspective on the full year performance is consistent with our prior guidance. Total and segment level sales are forecast between a 2% decline and a 2% increase from last year and we are targeted adjusted earnings per share between $1.50 and $1.66. While first quarter performance was encouraging, we are maintaining a cautious stance given the lingering uncertainty we still see in the markets. One area of concern for us is our recent exchange rate volatility. The sales benefit of $1.6 million that we realized in the first quarter reflects quite a bit of movement within the quarter. The tailwind we were seeing during the first two months shifted to a headwind as the dollar strengthened against all major currencies towards the end of the quarter. If today’s rates hold, our first quarter favorability will reverse. Another area of concern is the lack of change in overall market conditions, despite the signs of stability with our own business. Consequently, our expectations for business performance and market conditions are consistent with what we said last quarter. The Engine business is facing ongoing headwinds from heavy-duty equipment production, with on-road seeing the most pressure given the decline in build rates for Class 8 trucks in North America. We think full year sales in that business will be down in the high single-digit range with the aerospace and defense and off-road business are each expected to be down in the mid single-digit range. Specific to off-road, our forecast reflects production declines in all of our end markets. Both agriculture and mining equipment production will be down another 5% to 10% and production of construction equipment is expected to be flat to down 5%. In the aftermarket business, we think we can grow in the low single-digit range in a market where equipment utilization is roughly flat. The increase will be driven by our innovative technology and past investments in geographic expansion including the recent acquisition of Partmo in South America, which is expected to contribute $12 million to $13 million this year. Our perspective on full year sales for the business in the Industrial segment is also unchanged. The tepid first-fit conditions affecting industrial filtration solutions will be more than offset by growth of replacement parts sales, resulting in low single-digit increase for this business. We are also forecasting strong growth of replacement parts sales within the gas turbine business, but it is not enough to offset pressure from lower sales to large turbine projects. Consequently, we expect total GTS sales to be down in the high single-digit to low double-digit range. I do want to point out that pressure in this business is more self directed. Our sales forecast for large driven projects, which will be about 30% of total GTS revenue reflect the expected impact from strategic shift, Tod discussed. Within special applications, we are forecasting a low single-digit decline as lower sales of disk drive filters are only partially offset by growth in areas like venting solutions. We are targeting a full year operating margin between 13.3% and 13.9%, reflecting year-over-year improvement in both gross margin and expense rate. At the midpoint of this range, operating margin is up 40 basis points from 2016’s adjusted rate, despite the net headwind from higher variable compensation that is partially offset by benefits from last year’s restructuring actions. Before moving on, I want to briefly address the question many of you have asked about incremental margins. I will forewarn you that the answer is probably going to be less precise than you would like, but it’s an important topic and we wanted to share our perspective. At a high level, we believe stable or growing sales can drive an incremental profit margin. You saw that in our first quarter results and that expectation is reflected in our full year guidance. The incremental profit rate is dependent on a variety of factors, so I will walk through some of them of the moving pieces. Starting with our structure, fixed expenses are roughly 15% to 20% of cost of goods and they also account for more than two-thirds of total operating expense. Although these data points could be used to model an incremental margin forecast, we would add a word of caution. While that approach works mechanically, it does not capture the nuances within the business. The variability becomes clear when you look at our historic incremental margins. Things like the pace of the sales change, mix of business and a variety of other factors ultimately drive our results. In addition to the operational factors, we have plans to reinvest in our business to accelerate growth, should the opportunity emerge. Our full year guidance wraps together our perspective on all of these factors, so our plan is to limit our guidance to overall operating margin versus providing a precise set of line item targets. With that, I’ll quickly wrap up the fiscal ‘17 guidance. In terms of capital deployment, our forecast includes CapEx of $70 million to $80 million and share repurchase of 2% to 3% of outstanding shares. Our cash conversion is still expected in the 90% to 100% range. Finally, I want to remind everyone of how we expect sales and operating profit to unfold this fiscal year. Our sales forecast reflects similar first half versus second half seasonality as last year. For operating margin, we would expect nearly all of the year-over-year improvement will occur in the first half given the easier comparison last year combined with the frontloaded benefits from previously taken restructuring actions. In summary, the cautious stance we are maintaining allows us to deliver profit growth in a relatively flat sales environment and it also gives us the flexibility to pursue growth opportunities should they emerge. From our perspective, the pockets of uncertainty in the environment will continue to present a challenge, so we will remain focused on operational efficiency and balance sheet discipline across the company. Now, I will turn the call over to Tod for an update on our current priorities. Tod?
Tod Carpenter: Thanks Scott. We believe our guidance appropriately reflects the mixed market conditions we are seeing. As we discussed, we continue to see evidence of stability in certain businesses, but we are not expecting a return to broader market growth during our fiscal year. Given the current environment, we think growing profit with flat sales reflects our focus on controlling what we can. To deliver our fiscal ‘17 commitments and position us for the future, we are prioritizing a core set of actions. For future success, we are leveraging our technology to drive first-fit program wins. Engine liquid is the significant example of this opportunity. Our innovative Synteq XP technology addresses challenges from low sulfur and bio-diesel fuels and higher fuel injection pressures, creating a first-fit opportunity for this fuel filtration solution that did not previously exist. We have had a number of significant wins over the past few years and we continued to work a very large pipeline of opportunity. We are also investing in businesses that have near-term growth opportunities, including replacement parts. Engine Liquid is playing a key role here as well. Over the past year, we have been winning new business in the OE service channels by adding new parts to our offering. During first quarter, our liquid business grew in the low double-digits compared with last year, reflecting the progress we are making by expanding our business with existing customers and adding new ones. Another core priority is improving operational efficiency. Across the company, we are identifying opportunities to refine our operations and capture more cost savings where appropriate. Given the work we did last year and our current project pipeline, we believe we are well-positioned to grow our profitability with relatively flat sales. Finally, we are making thoughtful investments in our business. For example, we are developing a global e-commerce system that will go live during our next fiscal year. This new system will allow customers around the world to order our products with ease. We also continued to pursue inorganic growth through acquisitions. There is nothing to announce today, but we remain a disciplined buyer and continue to work our pipeline. Our fiscal ‘17 plans align with our strategic priorities to grow our business through our core technologies, geographic expansion and acquisitions. We are confident that our efforts position us to deliver our commitments this year and strengthen our foundation for future growth. I sincerely want to thank our employees across the world for their dedication to helping us achieve our priorities. With that, I will turn the call back to Denise to open the line for questions. Denise?
Operator: [Operator Instructions] Your first question comes from Charlie Brady from SunTrust Robinson. Your line is open.
Charlie Brady: Thanks. Good morning, guys. I guess with respect to the GTS business, I know obviously it’s hugely lumpy business, but I wonder if you could just maybe give us some sense of how you think the rest of the year plays out in terms of how the sales might come in for the rest of the year understanding that it’s pretty lumpy business?
Tod Carpenter: Charlie, this is Tod. In the GTS, our first quarter is actually on a comparative basis year-over-year, the best quarter we are going to have. It’s really going to be now more tougher comps as we lay out our expectations for the balance of this fiscal year every quarter going forward. Our full guide on GTS was 10% down for the year roughly and that still holds.
Charlie Brady: Okay, that’s helpful. Thanks. And just kind of a bigger picture question on the cash, you noted almost all the cash is outside the U.S. I guess, given the incoming administration, what’s your big picture thought on if there were some legislation or changes in tax law that would allow you to repatriate cash at a more reasonable rate? Is that something you are inclined to do? And does that help you one way or the other in terms of potential M&A transactions or anything like that?
Scott Robinson: Yes, so this is Scott. So, it’s certainly something we think about a lot. Our cash historically has mainly been outside the U.S. and we repatriate when we can and where it makes sense. Certainly, if the incoming administration were to facilitate monies moving back to the U.S., we would be glad to take advantage of that.
Charlie Brady: Okay, thanks guys.
Operator: Your next question comes from Ben Hearnsberger with Stephens. Your line is open.
Ben Hearnsberger: Hey, thanks for taking my question. If you look at your guidance, I am curious if you would give us the gross margin implied in your full year guide?
Brad Pogalz: Ben, we haven’t broken – this is Brad. We haven’t broken out the specific line items, but full year improvement is going to be driven more by expense leverage versus gross margin.
Ben Hearnsberger: Okay. And then looking at expense leverage, I think 1Q adjusted OpEx was up slightly year-over-year. Can you give us the puts and takes? How much did you see – how much of a tailwind did you see from some of the restructuring actions? How much bonus accrual did we see in 1Q?
Scott Robinson: Yes. So, this was in our guidance, but just to recap, we had approximately $12 million of benefit coming in from the restructuring programs from last year. That was offset by $20 million of incremental variable compensation expense. Those two amounts were inherent in the guidance. Obviously, our profitability in our guidance increased. So, we were able to offset that headwind with disciplined cost management throughout the company.
Ben Hearnsberger: Yes, I am sorry. So, the $12 million that was all incremental to 1Q?
Tod Carpenter: No, that wasn’t – that was to the first half.
Scott Robinson: Yes, that was mainly for the first half of the year and included in our full year guidance.
Ben Hearnsberger: Sure. Can you tell us how much you experienced in 1Q out of that $12 million?
Tod Carpenter: It’s not that precise. If you just take the announcements we did over the past fiscal year and assumed it was perfectly ratable by quarter, there would be more of that $12 million in first quarter than there would be in second quarter, but it’s not perfectly precise.
Ben Hearnsberger: Okay. And then I had a higher level question for Tod and I know this is real time. But clearly, Parker and you know Clarcor’s filtration business, I am just curious at a high level, how do you think about the potential change in the competitive dynamics of the market if the deal does go through?
Tod Carpenter: We compete with Parker in the compressed air space of industrial – so industrial uses of compressed air and we also compete with Parker in diesel fuel within their Parker Racor brand. Clarcor is not in the compressed air space. However, they are in the diesel fuel. Putting the two together, clearly, allow some synergy of a larger company, but for us from a competitive standpoint of view, it’s really kind of more of the same at this point.
Ben Hearnsberger: Okay, thanks for taking my questions.
Tod Carpenter: Thanks, Ben.
Operator: Your next question comes from Laurence Alexander with Jefferies. Your line is open.
Dan Rizzo: Good morning. This is Dan Rizzo on for Laurence. So, the recent rebound in metal commodity prices, is it too soon to tell if that’s going to, I mean, drive growth later in the fiscal year? I mean, is there any signs of anything yet?
Tod Carpenter: No, we have not seen any signs of that. We have longer contracts for our critical materials like steel. They will go out 6 months. And until we lap those contracts, then we will get a little bit better visibility depending upon where the steel is as we renegotiate, but all of that and what we know currently is baked into the current guidance.
Dan Rizzo: Okay. And then you mentioned you gave that example of Engine Liquid as an example of a new product or new contract win. I mean, is there any others that you could provide color on that’s showing that, I mean, there is more in terms of fresh-fit wins that are kind of driving growth?
Tod Carpenter: Sure. We have – if you just take our air-based products, if you look – split the company in air and liquid. On air, we have won over 75% of what we define as a must-win project in the last 12 months. And in liquid, we are also over 75% of what we defined as a must-win project. Must-win to us means it would drive $5 million worth of revenue for the company over a 10-year period. So, you can see our win rates across our product families are really quite high and we are very proud of that.
Dan Rizzo: Okay. Actually, that was very helpful. Thank you very much.
Tod Carpenter: Thank you.
Operator: Your next question comes from Brian Drab with William Blair. Your line is open.
Brian Drab: Thanks for taking my questions. First, are you starting to see – de-stocking has been such a theme here for several quarters. Are you starting to see some restocking potentially in any of your end markets?
Tod Carpenter: Tough to say, Brian. We still have uneven ordering patterns across our aftermarket. We have some real successes to point to within our strategic initiatives of adding to our strong distribution channel as well as broadening our product portfolio. So, we can point specifically to driving that within that growth that you saw in our first quarter. But we also had a little bit of easier comps because of that de-stocking you referred to in the first quarter last year. So, we believe there is certainly the range of possible outcomes across the aftermarket channel have narrowed and there is a little bit more stability, but it’s – we are not calling it as hey, we are on the floor. We are still just a little bit uneasy as we turn into the end of this calendar year.
Brian Drab: Okay, thanks. And then just turning to gas turbine and actually, on the smaller scale gas turbine business, which I understand a lot of that will go into oil and gas, what are you seeing in the oil and gas market, are you seeing any – many signs of stability or potential growth there given that’s really fallen off of a cliff, hasn’t it, for you over the last several quarters – or many quarters?
Tod Carpenter: Yes. Oil and gas is certainly pressured especially on our aftermarket channel. And then what we would consider our small turbine business of oil and gas and pipeline gas turbine, they certainly pressure that over the last couple of quarters. As we pair back and look deeply into inside of our aftermarket business, we wouldn’t point to any specific indicator that suggest oil and gas is helping us with the lift at this moment. We continue to look for that, but really nothing appreciable to discuss.
Brian Drab: Okay. And which lines, if any, would you highlight in this first quarter that – which business lines outperformed what you are expecting?
Tod Carpenter: I think the quarter is pretty much what we had thought we talked about in our guide, that our strategy is to press hard in our replacement parts businesses to help offset the headwinds of our first-fit. And you see that across our company in all of our numbers. And so really, we just have very good strategic execution and I am really proud of every region and what they are pressing for right now in that strategic focus.
Brian Drab: Okay, thanks. Would you mind if I ask one more, in light of this Clarcor agreement with GE, can we just – can you drill down into the dynamics in that market a little bit and talk about, first of all in the gas turbine market, my understanding is that there is some pressure from your customers to maybe move away from buying the whole system, meaning including the housing and the internal filtration components and that housing as I understand is a major part of the purchase – the overall purchase price of the filtration system and how does that affect may be the top line for you, how has it affected and how does it affect going forward the top line in the Gas Turbine segment. And can you also comment on just how important GE is to your gas turbine business for the large scale gas turbine filtration systems? Thanks.
Tod Carpenter: So what you are referring to is a large turbine filter house has some components in the middle that are what’s called smart parts, the filters themselves and for example, compressed air component that goes into keep those parts running effectively in front of the turbine, so it can supply ambient air. It’s roughly 20% to 25% of the overall cost of the filter house per se. There is – there was a move by one customer GE, to actually go in that direction on one platform. And clearly, market information indicates that, that’s what they have done and they have reached an agreement to do so. We don’t see that behavior everywhere across the market, but what that does do, if you are going to supply that smart parts, if you will, that allows some of that cheap metal fabrication to really be extended out to any sheet metal fabricator around the world. So that 75% to 80% of the price of a larger filter house could go elsewhere. Now, you still have to make it to the project specifications and GE welding requirements and so on, which are also very specialized, but that’s the net effect in the relationship of those. As far as GE and the importance to our overall gas turbine business, well GE is the number one gas turbine manufacturer in the world. So clearly, they are important as well as all of their competitors. They are, are currently not our largest customer within our Gas Turbine segment at this point.
Brian Drab: That’s all very helpful. Thank you.
Operator: Your next question comes from Rob Mason with Robert Baird. Your line is open.
Rob Mason: Yes. Good morning, just a clarification question first, Scott. I want to make sure that I heard you correctly, you said that your guidance you planned does not really contemplate any operating margin expansion in the second half of the year, that would all be in the first year, did I hear that correctly?
Scott Robinson: Yes, it’s essentially correct.
Rob Mason: And then I am curious, given the FX movements that we have seen of late, what are you assuming in the minus 2 to plus 2 sales guidance for the currency impact now?
Scott Robinson: Well, we had some tailwind in the first part of the year and that slipped to a slight headwind. And currently as where the rate sits today, so that benefit that we achieved from currencies in the first part of the year would be raised. We still maintained our current guidance and essentially all respects for our revenues for the year.
Rob Mason: Okay. And then Tod, I have noticed the – your engine aftermarket business demonstrated another strong quarter in Europe and that’s a string of several solid quarters there, could you just drill down into what’s driving the engine aftermarket strength in Europe, whether that’s Western Europe or is that emerging Europe, where that’s coming from and some of the drivers there?
Tod Carpenter: Sure. So within Europe, we are really just executing the strategy that we have been talking about for several quarters, which is strengthening our distribution channel, adding distributors to our current business as well as broadening our product offering. It’s really both. We have done – had success in both Western Europe and Eastern Europe and even up into Russia actually. And so we are just continuing to work our strategic plan, continuing to have that unfold. And the next step that we would look to do is even expand our distribution centers across Europe to support our growing business. But really, that’s what’s happening and they are just doing a great job.
Rob Mason: And then shifting gears just to the IFS business real quick, you mentioned some slight uptick in quoting activity, what do you think – one, is that region specific or is that a broader comment in IFS. And then two, what are you hearing from the field that it will take those customers to actually pull the trigger on spending on the capital equipment side there?
Tod Carpenter: So it is both in Europe and the United States. However, the reason why we remain a bit more cautiously optimistic about it is, because we still have what we would consider to be large projects, elephant projects, rather than a consistent base of say, lower six digit type of projects. When we have a lot of those type of projects going on, then we know that the overall CapEx spend across the industrial base is back. But this is a bit of a more lumpier type of a move and so that’s why we have cautious – a bit more cautiousness in that. What would it take, just really industrial production is going to really have people start to believe and spend CapEx and then you will get a more broad based first-fit project buy, if you will.
Rob Mason: Okay, very helpful. Thank you.
Operator: [Operator Instructions] Your next question comes from George Godfrey with CLK. Your line is open.
George Godfrey: Good morning and thank you for taking my question.
Tod Carpenter: Good morning George.
George Godfrey: Good morning. I wanted to ask about the desire today versus may be 1 year or 2 years ago for acquisition, I heard your comments about looking at doing deals, but I am just wondering if the appetite level, given Parker Hannifin’s action this morning, might increase your sense of urgency or the magnitude and size looking at the last couple of years, you have spent some money on acquisitions, but nothing really all that large, I m just wondering if that’s changing today and has it changed over the last year?
Tod Carpenter: When you take a look at our strategy within acquisitions, we have always had or looking to add over time, 1% to 2% acquisition revenue on an annual basis as part of our strategy. 5 years to 6 years ago, we just weren’t very good at executing on that. And so we stepped back a couple of years and we refurbished our entire process. And out of that process, we were honest with our self and said look, if it’s part of the strategy then embrace it. If it’s not, then let’s stop trying to execute. Well, we took action to embrace it and you see our four acquisitions over the last couple of years as a net result of that. I would say that our process in our pipeline is still robust. It is strategic in nature and selective and that we remain a disciplined buyer.
George Godfrey: Okay. And if I could just follow-up on that, just one quick question, leverage based on my estimates, net debt to EBITDA, 0.8x what would you be comfortable taking up that to? Do you have a threshold or a limit or a target range in mind?
Scott Robinson: We are certainly comfortable with where we sit today. We were a bit higher last year. And if you recall, we said we are working to bring that down. We were comfortable with where we sat last year, but we just thought we had room in the balance sheet to improve our asset efficiency and we work to improve that to bring that down to the current 1.5 level that we sit at today. We certainly like that position. It gives us powder. Should we need it? And we just look to maintain a strong balance sheet going forward.
George Godfrey: Great, thank you very much.
Tod Carpenter: Thanks, George.
Operator: There are no further questions at this time. I turn the call back over to Tod Carpenter.
Tod Carpenter: That concludes today’s call. I would like to thank everyone for their time and their interest in Donaldson and particularly, Donaldson employees across the world for their wonderful performance in our first quarter. Thank you. Have a good holiday.
Operator: This concludes today’s conference call. You may now disconnect.